Operator: Good day, and welcome to the One Stop Systems Second Quarter 2025 Conference Call and Webcast. [Operator Instructions] As a reminder, this call is being recorded. As part of the discussion today, the representatives from OSS will be making certain forward-looking statements regarding the company's future financial and operating results, including those relating to revenue growth as well as business plans, bookings and the company's multiyear strategy, business objectives and expectations. These statements are based on the company's current beliefs and expectations and should not be regarded as a representation by OSS that any of its plans or expectations will be achieved. Please be advised that these forward-looking statements are covered under the safe harbor provisions of the Private Securities Litigation Reform Act of 1995 and that OSS desires to avail itself of the protections of the safe harbor of these statements. Please also be advised that actual results could differ materially from those stated or implied by the forward-looking statements due to certain risks and uncertainties, including those described in the company's most recent annual report on Form 10-K, subsequent quarterly reports on Form 10-Q, current reports on Form 8-K and recent press releases. Please read these reports and other future filings that OSS will make with the SEC. OSS disclaims any duty to update or revise it forward-looking statements, except as required by applicable law. It is now my pleasure to turn the conference over to OSS President and CEO, Mike Knowles. Please go ahead, sir.
Michael Knowles: Thank you, Aaron. Good morning, everyone, and thank you for joining today's call. I'm pleased to report another quarter of progress, highlighted by year-over-year growth in both revenue and gross margin for the second quarter. Most notably, we ended the quarter with one of the highest level of bookings in our history. This strong start to 2025 underscores the solid foundation we have built as we capitalize on increasing demand from both defense and commercial customers for our rugged enterprise-class compute solutions. As a reminder, we implemented several strategic actions in 2023 and 2024 to reposition OSS for growth. These included strengthening our leadership team with proven defense industry executives, launching a multiyear strategic plan rebuilding our go-to-market approach, expanding our sales pipeline and driving higher gross margins. I'm proud of what our teams have accomplished across each of these initiatives and believe we're well positioned for strong growth and improved profitability in the second half of 2025 and beyond. We continue to pursue strategic growth opportunities that leverage our high-performance edge compute solutions to meet the growing demands of AI, machine learning, autonomy and sensor fusion at the edge. Our pipeline is expanding across leading defense organizations and advanced commercial enterprises that seek trusted proven partners like OSS. As I outlined last quarter, our sales strategy centers on 3 priorities. First, we are pursuing development work with prime platform vendors to design OSS into key platforms and become the incumbent supplier. We believe this will result in positioning OSS as the best value and provider of choice going forward. Next, we are focused on expanding the number of OSS systems that are integrated into existing platforms and customer systems. Finally, we are leveraging our integrated compute and storage architecture to deliver higher-value turnkey solutions. Balancing the success of these priorities, our OSS segment has generated one of the highest levels of bookings in our history over the first half of the year, totaling $25.4 million and representing a book-to-bill ratio of 2.3. In Q1, we secured a record $6.5 million contract from a leading defense and technology company for 80 high-performance servers and field programmable gate array systems, engineered for mobile tactical military environments. This win represents the first large-scale success from our strategy aimed at our goal of establishing OSS as an incumbent supplier on next-generation defense platform. We also received a third order from a major defense contractor in Asia for an autonomous maritime application. The latest $340,000 order follows a $200,000 award in December 2024 and signals a transition from system development to production deployment. Based on current forecast and the expected expansion of our customers' product line production, we expect approximately $4 million in cumulative sales between 2026 and 2029. In Q2, we received new awards from the U.S. Navy and a leading prime defense contractor to support the P-8A Poseidon reconnaissance aircraft. These awards for $5 million and $3.9 million, respectively, showcase our intent to become the compute and storage provider of choice for next-generation AI-driven applications at the edge as well as our platform-focused growth strategy. To date, we have recognized lifetime contracted revenue of over $50 million on the P-8 platform. In addition, we have previously announced a 5-year sole-source supplier agreement and a 5-year extension for support, which involves equipping the P-8 aircraft and ground base stations with high-capacity flash storage systems, fare flash storage canisters and related support services. We also received a $2 million production order from a leading medical imaging OEM, underscoring the growing relevance of our compute and storage solutions in healthcare. We believe the total value of this program will represent over $25 million of revenue over the next 5 years. Across our pipeline, demand remains strong, supported by growing interest for our enterprise-class compute solutions, and we anticipate further commercial and defense announcements in the coming months. In addition, we are seeing signs of stabilization in our European markets that are served by our Bressner operating unit. Recent bookings and revenue within our Bressner segment have been in line with our targets, and Bressner remains on track to achieve higher sales and profitability for 2025 as compared to last year's results. Looking ahead, we believe OSS is uniquely positioned to capitalize on multiyear growth opportunities driven by accelerating adoption of artificial intelligence, machine learning, autonomy and sensor fusion at the edge. As these requirements become increasingly central to defense and commercial innovation, customers are turning to trusted partners like OSS with proven expertise in rugged enterprise- class compute solutions. In support of this, we've increased R&D investments in 2025 to capitalize on emerging opportunities we see developing within our markets. In July, we announced Ponto, the world's first PCIe Gen 5 GPU expansion platform purpose-built for commercial data centers. This product was designed to address the growing composable infrastructure market, a market expected to grow from $5.87 billion in 2024 to $28.44 billion by 2031, according to verified market research. This launch is aligned with our commercial strategy to deliver standard products in addition to customized solutions and marks pivotal steps in OSS' evolution toward leading the transformation of composable infrastructure and enterprise-scale AI compute while also generating new commercial opportunities. Ponto is engineered to bring high-density enterprise-class compute optimized for composable infrastructure environments. It enables dynamic resource pooling and real-time orchestration of compute, storage and networking to efficiently scale workloads up or down based on application demand. Ponto is ideally suited for space-constrained deployments such as remote data centers, corporate campuses, hospitals and research-intensive universities where performance, density and operational flexibility are critical. We're excited about the long-term commercial opportunity this product and platform represents. We're actively engaged with potential customers about deploying our new data center solution, which we expect will begin contributing to revenue in 2026. Beyond the potential of our Ponto product, we are executing against a growing pipeline in both commercial and defense markets. Our delivery of a rugged compute solution for combat vehicles for the U.S. Army remains under test and evaluation, which is expected to continue for the remainder of the year. We continue to transform the business, and I'm encouraged by the growing number of multiyear platforms we are now supporting as demonstrated by the continued growth on the P-8 for the U.S. Navy and recently announced ongoing production orders for medical imaging device company and the autonomous maritime product for a leading defense prime in Asia. Pursuing these types of platform opportunities is an important component of our strategy. We believe that our bookings growth to date in 2025 points to sustained demand for our products. We are receiving a more diverse mix of larger orders that are extending over multiple periods compared to order trends in prior years. These higher-quality orders further support our strategy to build more predictable revenue streams, and we are building backlog for 2026 as our business scales to meet rising market demand. Consistent with our expectation for stronger second half performance in 2025, we expect OSS segment revenue of approximately $19 million in the second half of the year compared to $11 million in the first half of this year. At this level of second half revenue, we would expect positive EBITDA in our OSS segment in the second half of 2025. As a result, we expect full year revenue within our OSS segment of approximately $30 million, representing over 20% year-over-year growth. On a consolidated basis, we continue to expect revenue of $59 million to $61 million for the full year of 2025, based on current bookings, orders and market conditions. In addition, we expect EBITDA breakeven for the full year of 2025. I'm excited about the opportunities ahead and look forward to reporting on continued execution and success in the quarters to come. Finally, I want to thank our entire team for their dedication, innovation and relentless focus on delivering results for our customers and shareholders. So with this overview, I'd like to turn the call over to Dan.
Daniel Gabel: Thank you, Mike, and good morning to everyone on today's call. In Q2, we achieved strong operating performance and continued to build momentum for sustained growth. We believe that OSS segment book-to-bill of 2.6 for the second quarter and 1.63 for the trailing 12 months, demonstrates that our technology is resonating with customers and validates our strategic focus on securing platform position with differentiated edge computing technology. With record bookings in the first half of 2025, we are on track to achieve our full year guidance and to execute on our robust growth and profitability objectives for the second half. Now for a quick overview of Q2 2025 financial performance. For the second quarter, we reported consolidated revenue of $14.1 million compared to $13.2 million last year and $12.3 million for the 2025 first quarter. The 6.9% year-over-year increase in consolidated revenue was a result of approximately $239,000 of higher OSS segment revenue and $669,000 of higher Bressner segment revenue. Second quarter sales were in line with our expectations. And as Mike outlined in his prepared remarks, we continue to expect revenue and profitability to grow at a higher rate in the second half of 2025. Consolidated gross margin in the second quarter expanded 610 basis points to 31.3% compared to 25.2% in the prior year quarter. On a segment basis, gross margin for the company's OSS segment improved to 41.3% compared to 24.9% for the same period a year ago. The 16.4 percentage point increase was due to the nonrecurrence of an inventory charge recognized in last year's second quarter as well as a more profitable mix of products shipped this year. Year-to-date, OSS segment gross margin has benefited from both operational efficiency and a favorable product mix. We do expect some level of variability in gross margins quarter-to-quarter based on absorption, product mix and program life cycle. On a sustained basis, we continue to target OSS segment margins in the mid-30s to low 40s. For full year 2025, we now expect OSS segment margins in the 40% range, up from our prior guidance of mid- to upper 30s. The company's Bressner segment had gross margin percentage of 24.3% in the second quarter. The 120 basis point decrease from the same period last year was primarily due to product mix. Total second quarter operating expenses increased 11.6% to $6.2 million. This increase was predominantly attributable to higher R&D expenditures, reflecting targeted investment in new product development. For the second quarter, the company reported a GAAP net loss of $2 million or $0.09 per share compared to a net loss of $2.3 million or $0.11 per share in the prior year quarter. The company reported a non-GAAP net loss of $1.5 million or $0.07 per share compared to a non-GAAP net loss of $1.8 million or $0.09 per share in the prior year quarter. Adjusted EBITDA, a non-GAAP metric, was a loss of $1 million compared to an adjusted EBITDA loss of $1.4 million in the prior year second quarter. Turning to the balance sheet. As of June 30, 2025, OSS had total cash and short-term investments of $9.5 million, no borrowings outstanding on our $2 million revolving line of credit, and a consolidated balance outstanding on our term loans of $1.2 million. For the 6 months ended June 30, 2025, OSS used $1.5 million in cash from operating activities compared to operating cash flow of $1.2 million for the 6 months ended June 30, 2024. The change from the prior year period was primarily due to the timing of working capital. As Mike mentioned, we believe we are on track to achieve our 2025 annual guidance, including 20% plus year-over-year revenue growth for the OSS segment and EBITDA breakeven at a consolidated level. Our strong first half bookings give us valuable visibility into our second half ramp. As we move through the second half of the year, we are focused on disciplined execution, including managing our supply chain and achieving our planned production ramp. We also remain focused on continuing to drive growth by investing in our technology and securing new platform opportunities that will provide sustained multiyear revenue streams. I look forward to updating you on our success. This completes our prepared remarks. Operator, please open the call to questions.
Operator: [Operator Instructions] And we can take our first question from Scott Searle with ROTH Capital.
Scott Wallace Searle: Great job on building the backlog and providing that outlook into the second half of this year. And maybe, Mike, to dive in, in terms of the OSS outlook or core OSS outlook implies a pretty significant ramp-up on that front. The counterweight to that, I guess, is maintaining your existing 2025 guidance implies that there's some decline on the Bressner side of the equation. Wondering if anything is going on, on that front, specifically in Europe or otherwise? It sounded like things were getting better there? Or are you guys just being conservative? And then looking out to 2026, I know it's early, but you're building a nice pipeline and opportunity set. Does that mix in terms of OSS and Bressner continue off of the second half base?
Michael Knowles: Yes. Thank you, Scott, for your question. I'll let Dan give you a quick summary of how the Bressner line is coming in. But we've seen -- we've been happy with their performance compared to last year and the growth they're showing. And we have seen market recovery in the economic outlook in Germany and Europe. But also if you've been watching the news, the increased interest in the defense market in Germany and Europe now has started to pose opportunities that would go into 2026 and beyond. So we'll be looking to hopefully take advantage of some of those. But I'll let Dan give you some color on the mix between OSS and Bressner.
Daniel Gabel: Yes, Scott. What I'd add, so in our guidance, we've modeled Bressner second half roughly in line with the first half. Certainly, as we put our guidance together, we track a range of opportunities and risks and the strong backlog, strong bookings in the first half of the year do give us a lot of opportunity to drive some upside. But we are remaining cautious in our outlook at this point, mostly because of the significant ramp that we have in the second half of the year and all the work that we have to do with our supply chain and with our production to make sure we're able to achieve that. So I think there's opportunities, but we are remaining cautious in our guidance.
Scott Wallace Searle: Got you. And just in extrapolating the strength in core OSS of 20% growth, does that continue into 2026, given what you're seeing right now in terms of the early tea leaves of wins in the existing pipeline?
Michael Knowles: Yes. For OSS segment, the way our pipeline looks out for multiple years, we continue to believe there's opportunity for us to continue to grow OSS at that rate. So the ratio of revenue comparatively between OSS and Bressner will change as time goes forward because of the anticipated larger growth rates in OSS compared to the growth we'll see in Bressner. The growth rates expected for Bressner will be consistent with historical growth that we've seen in Bressner that they're back in line to forecast to achieve this year.
Scott Wallace Searle: Great. Very helpful. And Mike, on the data center front, you've had some comments in the past this opportunity is starting to open up to you guys. I'm wondering if you could provide us with some quick thoughts and comments in terms of what you're seeing in that pipeline and what's going on from an AI partnership standpoint?
Michael Knowles: Yes. Yes, we're excited about these products. So we've seen the data center markets making a quick shift here recently into higher wattage available GPUs and card sets. And so we've adjusted some of our product lines to quickly take advantage of that and being able to provide high-density GPU and card at a much higher wattage card sets. And so dissipating that heat making available. So we've been able to rush some of those markets, those products like Ponto to the market to help some of our customers and partners in that field. So we're -- as I mentioned in the comments, we're looking into 2026 to see those start to move forward, along with just some of our standard products that we have aligned to the data center, especially around GPU expansion servers. And then we'll start to see the next generation of PCIe start to come to the market, and we'll have products aligned for that also. So we're hopeful to see a pickup in the data center business as we continue through the quarters. We'll keep you updated on that. And then -- I'm sorry, Scott, the last part of your question was?
Scott Wallace Searle: AI partnerships from the software vendors. I think you've been talking to various guys to help pull you through the channel.
Michael Knowles: Yes, exactly. So we continue those as a normal course of business. We continue to align with new and existing AR partners as they roll through there and align on either more fully integrated solutions for our customers and/or if our product sets can serve as the base of compute for AI companies. We continue to move through those. As we formalize more strategic relationships, we'll look to announce those.
Scott Wallace Searle: Great. And lastly, if I could, Mike, you mentioned about higher watch GPUs, but there's some architectural shifts that are going into the data center as well in terms of inference processing or AI accelerators. Are you seeing design requests and activity on that front to potentially expand your product portfolio from GPU-centric architectures to something else? And Dan, just a quick clarification in terms of supply chain otherwise tariff impact. Any updated thoughts on that front in terms of limited component availability or pricing headwinds?
Michael Knowles: Yes, Scott, quickly on the data center market. We continue to watch those elements of technology around AI accelerators and other. And yes, we adjust and work adjusting our product line and strategy as we go through as that market adopts. We have a number of core customers that we keep aligned with and where their product road map needs go. And so our Chief Product Officer and their team stay aligned for that. So I think you'll see us continue to make announcements about new products and product alignment as we continue through the quarters and well into next year.
Daniel Gabel: Yes. And on the supply chain front, I'd just add. So certainly, with the higher production that we have in the second half of the year, we're ordering larger volumes from our suppliers. And so that is impacting lead times. We are seeing longer lead times for some of those components. We're working really closely with our supply chain, driving our suppliers to make sure we're able to mitigate those lead time risks. And we think that all those risks are kind of captured in our guidance. But it's a key focus. Supply chain execution will be a key driver for our second half performance.
Operator: And we can take our next question from Eric Martinuzzi with Lake Street.
Eric Martinuzzi: Yes. I just wanted to clarify your comment on the Bressner. You talked about kind of anticipating normal growth rates. I've just got -- I'm struggling with what's normal because we had -- we were up 10% in 2023, down 6% in 2024. And based on 2025, I'm looking at maybe up 2%. But I thought I've heard you describe it to kind of grow at the rate of the overall IT rate, which I would put in the kind of 5% to 9% range. So just help me out there, what is normalized growth for Bressner.
Daniel Gabel: Yes. So for our guidance, we've guided consolidated revenue of $59 million to $61 million, $30 million for OSS segment. So that implies Bressner segment at about $30 million to $31 million for the year. As I said before, we track a range of risks and opportunities to that. Right now, that's probably biased towards opportunity. But particularly because of the supply chain lead times that we've seen on the OSS segment and the significant production ramp that we have, we've kind of taken the conservative position and held our guidance. But we are continuing to strive for opportunity.
Eric Martinuzzi: But I'm asking more of a 2026 question, I guess, for what is...
Daniel Gabel: Yes. So in general, our longer-term outlook as we look into '26, '27, we see the OSS segment growing at about 20% a year, 20%, 25% and the Bressner segment, we model in the range of 7% to 9%.
Eric Martinuzzi: Okay. That's what I was looking for. Mike, you've had a chance or I guess, maybe your customers have had a chance to digest the One Big Beautiful Bill Act on their business. And I'm just curious to know, since the passage on the 4th of July and today, what are you hearing about the potential impact to your pipeline in 2026, 2027?
Michael Knowles: Yes, Eric, not seeing significant change to kind of the pipeline and the way we figured out in the forecast we're looking at '26 and '27. The markets inside of defense are fairly well aligned, especially the markets where we pursue that have to do with sensor processing fusion, AI and autonomy. So those markets have held strong, continued investment. We specifically more aligned to watching the timing of when the bills will be released into 2025 or into 2026. As you know, we were on a full year continuing resolution this year. That caused some delays in new program launches that we've had to work through, and it's just caused some delays in existing funding. It seems like 2026, the current process is on track for a bill to be on schedule for the year a few short months CR to start off 2026. So I would say we're more concerned about the timing of CRs and new program releases than we are the effects on the scale or opportunity of the markets and where they're going. And if anything, we're probably more opportunistic on the overall pipeline and outlook because we have seen -- it existed prior before this administration, the desire and need to move into some more commercial applications. Under the new administration, that desire has increased and their hope is really to accelerate some of that timing. So we have seen some early precursor requests for information, requests for architecture thoughts permeating out. So hopefully, that will transition into awards. And as I mentioned, it's really the timing, I would say, that we keep an eye on more so than the -- than our concerns about any growth or change to the pipeline or scope in the future.
Eric Martinuzzi: Got you. You talked about the U.S. Army Combat vehicle opportunity that you're kind of they're kicking the tires on what you guys can offer them. Any sense of the size as well as the timing of some kind of -- I'm just not familiar. I know it's a terrific opportunity. I don't know if it would be a 1- or 2-year sample set and then you get into full production, even if you do win it. So just help me size that opportunity as well as the timing.
Michael Knowles: Yes. We're very early stage on this. As we had noted in a number of other investor presentations, we had identified opportunities in our pipeline that had opportunity to be larger in nature than our normal work, but there was time to go, and we had aligned the probability of those accordingly. So we're early stages of an opportunity here with the Army. We're in the research labs who are sharing the technology and their test and evaluation with the acquisition offices who are evaluating those against their requirements, needs and funding. So as I noted in our comments, I would anticipate from what we're seeing in their schedule, they'll continue testing through the remainder of this year. That will start to inform their requirements definition and budget building for 2026 and beyond. The speed or size or volume of which those will go will be dependent on the need of the demand and how they want to utilize existing funds or new funds. So it's a little bit early for me to say how that would -- how long or what the scope and value of that would be. I think we'll know more in the quarters to come as we see the culmination of the testing and the requirements generation on the acquisition side.
Eric Martinuzzi: Okay. And last question for me is on the gross margin side. I was encouraged to see that OSS segment that you're comfortable with the 40% plus on the gross margins there. Can we extrapolate that out given the 2026, we're looking for a faster growth rate in the OSS segment versus Bressner that there's -- that the gross margins for the business would increase in 2026 as well.
Daniel Gabel: Yes. I think from a gross margin perspective, so we look at gross margin is really being driven by 2 things. One is absorption. As we get better volume, we get better absorption. And the other is product mix and program life cycle. So from a product mix perspective, straightforward, we have some products that are higher margin, some products that are lower margin. So we see some variability from quarter-to-quarter. From a program life cycle perspective, we typically see early in the program, you have customer-funded development that tends to be lower margin. You move maybe to some prototype builds. Those also tend to be lower margin. You don't have as much opportunity for learning curve and supply chain efficiencies. And then you get into low rate, full rate production, tech refresh and sustainment. And that's really where you see the expanding margin. So as we model '26, we kind of weigh all of those factors. I think that for the OSS segment overall, we continue to guide mid-30s to low to mid-40s. I think that will sustain through 2026, but there could be some variability from quarter-to-quarter on where in that range of mid-30s to low to mid-40s we land.
Operator: And we can go next to Brian Kinstlinger with Alliance Global Partners.
Brian David Kinstlinger: Sorry, I joined late if it's already been discussed. Several companies have been sharing that government short-term awards have been hurt by an uncertain government funding year, which I know you know and have discussed that. What was the mix of government to commercial bookings in the first half that's been so strong? And then in terms of your bid and proposal activity, how is it being impacted on the government side?
Michael Knowles: Yes. Thanks, Brian. On the bookings side, the percentage has been a little more weighted to defense over commercial as we've gone through the first half of the year. And part of that was driven by we saw a pickup in defense orders in the second half of the second quarter of this year. So look, we started to see the government start to pull out and then as they got getting closer to the end of their fiscal year to start aligning and moving budget and making awards. So we were encouraged by that movement through the year. And as we look forward, our way our company build as we're aligning bid and proposals, we look into 2026 and beyond, the opportunity set that's in there, I think we're well aligned with the teams and the bid and proposal budgets we have set to capture the opportunities we're in. So I think we're still well aligned. As I mentioned earlier, for us, we continue to monitor the timing on how the government will be able to move its budgets down to awardable releases.
Brian David Kinstlinger: I mean how do you think about bid and proposal? Is the goal to be bidding 3x your kind of revenue rate? Is it -- do you have a number in the pipeline that you think is addressable through 2026? Maybe anything you can share on that would be helpful, maybe compared to where you've been in 2024 and 2025.
Michael Knowles: Yes, Brian, I'll lay it out this way how we work the process. So you've heard me talk that we have a 5-year factored and unfactored pipeline. So in any given year, we have a factored and unfactored forecast or pipeline that we're going after the year. The unfactored and the factored pipeline numbers, both -- the factored pipeline number really represents where we've been able to achieve that 20% or greater growth. And so we have significantly more factored opportunities in a quarter to drive the revenue that we get in any quarter, and that same holds for the year. So as we process that out, we have that significantly greater opportunity to bid down. The ratio of bid and proposal, how much we're bidding versus how much we pull in, changes quarter-to-quarter and by the year just based on the size and the probability of program happening and our probability of win. But I'll say we've been able to convert well. The majority of the stuff that we win is generally sole source. Customers see what we have to offer, and there's not a comparative competitor offering the same thing. We're usually competing against an incumbent or an existing architecture. So we tend to win our stuff sole source. Where we are competing head-to-head, we've been winning a little bit more than 70% to 75% of the programs that we bid. So we've been getting a fairly good transition rate out of our pipeline and into revenue. So our biggest thing I go back to the thing we tend to worry about more is what's the probability of the timing that something is funded, ready to go and it's going to be released in the time that our customers identify versus when they actually happen.
Brian David Kinstlinger: Just to make sure I understand what I heard because I thought it was a big takeaway there. Are you saying[indiscernible].
Michael Knowles: In the competitions that we bid that are competitions, we're winning 75% or more of those.
Brian David Kinstlinger: Wow. That's really telling. The last question I have is -- just to be clear, is proposal activity in the pipeline near term kind of steady? Is it rapidly increasing? Is it steadily? Could you just maybe give some discussion on the trends you're seeing in near-term pipeline?
Michael Knowles: Yes. We've seen -- as the company has grown from '24 quarter-on-quarter into 2025 with the book-to-bill ratios you're seeing, we've seen a steady increase in the activity in our bids and proposals. So that starts out with early request for information, early engagements with customers into architecture ideas and concepts. We've seen the request for information or request for white papers. We've seen a significant steady increase in that from '24 into 2025. It looks like it's going to continue well into the second half of 2025. The result of that also then is that we're putting out more proposals that come from the first engagements through request for information. And we're also seeing as our pipeline continues to expand out through the years each year that our opportunities for bids are also increasing. So yes, we're seeing a steady increase in the amount of proposals and request for information quarter-to-quarter.
Brian David Kinstlinger: Great. Congratulations on the progress over the last couple of years of turning the business around.
Michael Knowles: Thanks, Brian.
Operator: And this does conclude our question-and-answer session. I'd like to turn the program back over to our presenters for any closing remarks.
Michael Knowles: No closing remarks, Aaron. You can close the call.
Operator: Thank you for your participation. This does conclude today's program. You may disconnect at any time.